Operator: Good afternoon. Welcome to Red Rock Resorts First Quarter 2021 Conference Call. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to Stephen Cootey, Executive Vice President, Chief Financial Officer and Treasurer of Red Rock Resorts. Please go ahead.
Stephen Cootey: Thank you, operator, and good afternoon, everyone. Thank you for joining us today for Red Rock Resorts first quarter 2021 earnings conference call. Joining on the call today are Frank and Lorenzo Fertitta as well as our executive management team. I’d like to remind everyone that our call today will include forward-looking statements under the safe harbor provisions of the United States federal securities laws. Developments and results may differ from those projected. During this call, we will also discuss non-GAAP financial measures. For definitions and complete reconciliation of these figures to GAAP, please refer to the financial tables in our earnings press release and Form 8-K, which were filed this afternoon prior to the call. Also, please note that this call is being recorded. Before we get started, I’d like to note that we are comparing our 2021 first quarter results against our 2019 first quarter results. Given that our properties were closed for a portion of the prior year’s first quarter due to COVID-19 pandemic, we believe this financial comparison is a better reflection of our performance this past quarter. Now let’s take a look at our first quarter results. On a consolidated basis our first quarter net revenue was $352.6 million, down 21.1% from $447 million in the first quarter of 2019. Our adjusted EBITDA was $156.6 million, up 8% from $145.1 million in the first quarter of 2019. Our adjusted EBITDA margin was 44.4% for the quarter, an increase of 1,197 basis points from the first quarter of 2019 and up 59 basis points from the fourth quarter of 2020. With respect to our Las Vegas operations, excluding the impact from our foreclosed properties, our first quarter net revenues was $338.4 million, up 5.4% from $321 million in the first quarter of 2019. Our adjusted EBITDA was $165.6 million up 38% from $120 million in the first quarter of 2019. Our adjusted EBITDA margin was 48.9% an increase of 1,155 basis points from the first quarter of 2019 and up 339 basis points from fourth quarter of 2020. On a same-store basis we achieved the second highest net revenue and the highest adjusted EBITDA and adjusted EBITDA margin in the history of our operations. During the quarter, we also – we continue to prioritize free cash flow converting 57% of our adjusted EBITDA to free cash flow generating $88.8 million or $0.76 per share. This brings our total free cash flow generated by the company from our June 2020 reopening through the end of the first quarter to almost $350 million or $2.97 per share with virtually every dollar going to pay down debt and fortify our balance sheet. Taking a look behind the numbers. The overall customer trends we saw in the first quarter were consistent with the trends we’ve seen since our reopening last June. We continue to see strong visitation from a younger demographic, increased spend per visit, more time spent on device, plus the glowing return of our core customer. These trends were positively impacted by the continued rollout of the COVID-19 vaccination program, easing of capacity restrictions from 25% to 50% on March 15th and federal stimulus money. These positive trends were offset by approximately $4.8 million of COVID-19 mitigation costs for the quarter, approximately $4.9 million carry cost associated with our closed properties for the quarter and the continued negative impact of government mandated occupancy restrictions on several of our core business lines, including hotel, food and beverage and sales and catering. As of May 1, occupancy restrictions were further eased to prevent 80% occupancy and at least 60% of Clark County residents are vaccinated by June 1st, we expect occupancy to increase to 100%. At least development should improve the business segments most impacted by these restrictions. We still expect to carry – to continue to carry our COVID-19 mitigation costs as well as our carry costs associated with our closed properties at least over the short-term. On the expense side, as we begin the anniversary of the government mandated closures in March of 2020, we now expect to achieve over $200 million per annum in cost savings. This new target is $50 million above the $150 million per annum cost savings we referenced on prior earnings calls as the company continues to benefit from the actions we took to streamline our business, optimize our marketing initiatives and renegotiate a number of vendor and third-party agreements. These initiatives, along with maintaining a disciplined operational focus have enabled the company to achieve and sustain higher profitability and drive more free cash flow. Now let’s cover a few balance sheet and capital items. The company’s cash and cash equivalents at the end of the first quarter were $117.9 million and total principal amount of debt outstanding at quarter end was $2.87 billion. In the first quarter, we paid down $78 million in debt and since our reopening in June, we reduced our net debt levels by approximately $334 million through a peak level of $3.1 billion. Capital spend in the first quarter was $5.1 million and as mentioned in our previous earnings call, we anticipate our 2021 maintenance capital spent to be between $65 million and $75 million. Also during the first quarter, we made a tax distribution of approximately $31.5 million to the LLC Unit holder to Station Holdco, which included the distribution of approximately $18.1 million to Red Rock Resorts, because Red Rock Resorts does not expect to pay cash income taxes in 2021, the company elected to use $14.1 million of its distribution to purchase slightly over 382,000 Class A shares to redeem 100,000 Class B shares at an average price of $29.16 per share under its previously disclosed 150 million share repurchase program. When combined with our debt repayment, we returned $92.4 million to our stakeholders in the first quarter. Now let’s provide a short update on our North Fork project. We continue to move forward on this project as we near completion with our design efforts. Over the next couple of weeks, we will be having discussions with our lending partners as to how we can most efficiently finance this project. We continue to expect to have a shovel in the ground in the second quarter of 2021 with the construction expected to take 15 to 18 months. As of now, the budget for the full completion of this project excluding any financing costs is expected to be between $350 million and $400 million. Upon completion, we expect this project to include over 213,000 square feet, including almost 100,000 square feet of casino space, 2,000 Class 3 slots and 40 table games and two standalone restaurants, as well as a food hall concept. We’re excited to begin the development of this very attractive project on behalf of North Fork Tribe and we’ll provide – we’ll be providing more details in the coming quarter. Lastly, on May 3, we entered into definitive agreements to sell the Palms Casino Resort and Palms Place for an average purchase price of $650 million in cash to an affiliate of the San Manuel Band of Mission Indians. The closing of this transaction is subject to customary closing conditions, including regulatory approvals, is expected to be completed before the end of the year. While we are incredibly proud of how we transformed this iconic property, we determined that the sale of the property, the best way to create shareholder value and enables us to emerge from a pandemic on a more accelerated timeline. Going forward, we will continue to focus on and improve operations of our existing portfolio of leading gaining assets in the Las Vegas locals market. With this transaction, we can accelerate the development of our Durango project located in the fast growing and underserved Southwest Las Vegas market, while maintaining a fortress balance sheet. Finally, this transaction will further reduce our interest expense costs and eliminate approximately $9.5 million of our current annual closed property carry costs of which $2.7 million was incurred in the first quarter. In conclusion with government mandated restrictions waning with widespread vaccinations and with significant pent up leisure demand, we believe the worst is finally behind us. And we look forward to a brighter future. We are proud of our team members and how we managed to weather the storm in such a positive manner. We were one of the only gaming company in the United States did not raise additional debt or equity during this crisis. Instead we paid our team members during the crisis, increased team member benefits, while simultaneously reducing its costs for our team members, kept our focus on being destinations of choice within the Las Vegas locals market by increasing our service levels and quality of our amenities, generated high – historically high EBITDA and EBITDA margins, while converting 68% of that EBITDA to cash since our reopening in June of 2020. We paid down $334 million in debt. We’re now sitting at levels well below pre-COVID level, reduced our share count in a series of accretive transactions, all well-contained to be one of the few gaming companies that still owns all of its real estate and operating assets. When these highlights are coupled with very favorable supply/demand pandemic, the positive long-term trends and population growth and the stable regulatory environment that characterized the Las Vegas locals market and we were best in class to replaceable assets and locations, unparalleled distribution and scale, and our deep organic development pipeline, we believe that we are uniquely positioned to thrive in this highly attractive market. Lastly, we would like to recognize and extend our thanks again to all of our team members for their hard work and to our guests for their support to this pandemic. Operator, this concludes our prepared remarks for today, and we are now ready to take questions from participants on the call.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Joe Greff from JPMorgan. Go ahead.
Joe Greff: Good afternoon, guys. Thank you for taking my questions. My question isn’t really on the sustainability of margins, maybe directly answerable. But really my question is focusing on how are you thinking about adding back existing capacity, closed capacity to three properties that are still closed versus the realization benefits from having more hotel rooms in F&B space at your existing properties. And then you mentioned it Steve – Steve at the end, you mentioned about where the balance sheet is going and that allows you to take on Durango development. Maybe Frank, you could update us on your current thoughts on the timing and scope of developing on the Durango side.
Stephen Cootey: Actually there’s a few questions in there. So in terms of – we’ll talk about the closed properties. I mean, we’re continuing to evaluate these closed properties and we’re going to take a very disciplined approach to any potential property. In any case, I think what we’re looking for is, if we decide to open a project, it needs to generate incremental free cash to the entity. In terms of bringing on more staff, I think, we expect as volumes to increase staffing in certain areas to also rise up. But when you look at where volumes are increasing majority of that is in non-gaming entities, such as hotel, sales and catering, theaters, for that example, all of which have very high margin businesses. So we expect to get a return in the employee as we kind of load up on new hires.
Frank Fertitta: Plus, I think you have to look at our business model where we’re primarily a gaming company, 80% of our revenues and cash flows primarily come from slots, table games, sports and we’re very levered to that side of the business. And while we still haven’t gotten back to normal on the hotel catering and food and beverage, which we expect normalize very soon, those we do not think should really take away from the margins that we’ve been able to achieve given a better cost structure that we’ve gotten to under COVID. We think the theaters are basically lease income based on revenue, which flows through at $0.100 on the $1. Hotel and catering are typically between 40%, 50%. We were one of the few companies that opened up initially with primarily all of our food outlets, other than the buffets. And those have been capacity restrained between 25% to 50%, 80% depending on where we’ve been in this COVID cycle. And so we would expect those margins to – if anything gets better than they have been historically. So we’re feeling pretty good about what we’re seeing overall here on the local economy. Right now I don’t Lorenzo, if you have anything that you’d like to add to that.
Lorenzo Fertitta: No, I think that covers it. I mean, like you said, we opened with essentially all of our amenities on June 4. We wanted it to seem as normal as possible to our guests and the things that haven’t been opened were really theaters, and then whatever we get incrementally through the hotel and food and beverage, but that should come in at a fairly nice margin. So it shouldn’t – as far as bringing on additional amenities, nothing should really drag our margins from there. And then he had asked about Durango.
Frank Fertitta: Yes. I mean, look, at the end of the day the company has a great development pipeline here in Las Vegas, primarily we’re gaining entitled A-plus location surrounding the Las Vegas Valley in the fastest growing areas of the city. We think Durango is the most prime of all of those development sites. It’s the only non-restricted gaming location on that part of the Beltway within a 5 mile radius. It’s one of the fastest growing areas of the city. We like every time we’re saying we think it’s very, very underserved and we’re currently very focused on the scope of the project and defining that and basically working to make our project, the most efficient project that we have ever built as a company, trying to take everything that we’ve learned along the way. And so we hope to be sharing those details with you guys within the next – hopefully by the next call. We’ll be able to share with you guys the timing and the scope of that project, but we would like to be in a position to be in the ground in early 2022.
Joe Greff: Thanks very much guys.
Operator: Our next question is from Carlo Santarelli from Deutsche Bank. Go ahead.
Carlo Santarelli: Hey guys, thank you for taking my question. To the extent you guys comment, I know Steve kind of called out, obviously the not only the close property costs, but also some of the health safety cost measures and whatnot. If I’m not mistaken, those are kind of knocking your margins somewhere in the ballpark of 250 to 300 basis points a quarter. Clearly, I would imagine some of those things stay as we move forward here. But when you think about the other pushes and pools, and this is kind of getting into to Joe’s question. Relative to the portfolio that you have open right now, you guys have been pretty comfortably in this 700 to 1,000 basis points of margin improvement on this kind of same storage basis. As those costs go away, is it possible that that perhaps we even see a little bit more expansion from here?
Stephen Cootey: I mean, Carl that is a possibility. I mean, to say, these are historically high margins and like to think that we can run at these levels. What I can comfortably say is, I think we’ll be historically above what we’ve been in for a long time. I think this has a lot to do with – I think Frank touched on the best that the business model is a recurring revenue stream, it’s based on really centered around the high market lot business. And we’ve been maintaining our operational discipline around labor and around marketing. And to your point, we do see some of the COVID mitigation costs weaning away. We also see some of the closing – closed property costs weaning away. In fact the $9.5 million, I pointed out earlier in the call and that’s going to wean away as well. Plus the businesses that we’re bringing along when occupancy restrictions are lifted, theaters, which opened up in early May, your hotel, which is seeing traction through the end of the first quarter and that’s continuing this quarter. The same with sales and catering, you’re starting to see green shoots through end of 2021 and then group business returning in 2022. But because as Frank mentioned, we’ve opened up all of the amenities, even your F&B, the incremental margin is going to be somewhat high because we’re already covering our fixed costs with our existing operations.
Carlo Santarelli: Thank you, Steve. And then if I could just one follow-up and Frank acknowledging that you obviously did very clearly say you have more Colorado, perhaps next time we spoke. But just in terms of magnitude, clearly, construction costs, things like that have gone up. How do we think about the scope of the Durango project and is that kind of construction impact or material impact something that influences the timing on going forward with the project? And then just, if you could like to the extent you can kind of give us a range of sort $350 million to $500 million project, maybe a little bit more than that. How we could think about where your head is on it?
Frank Fertitta: Look, we don’t want to get ahead of ourselves. We’re going through the process. I can tell you the project is significantly tighter than anything that we’ve done in the past. We’re going to put the dollars into the place where we make money. It’s going to be a focus on slot machines and table games, our primary business. We’ll have several restaurant options. We will not have a buffet. And I don’t want to get ahead of ourselves on it. We’re going to go through and get the real cost on the project. We were bettered out. We’re going to know exactly where we are. And we want to give you guys good solid information. But I can’t tell you – anybody, go do demographics around every local casino in Las Vegas and you’ll see the Durango is an absolute, no brainer. Like I said, it’s most underserved adult population relative to the number of gaming positions within a 3 and 5 mile radius. And so we feel really good about it, knowing what we’re able to produce out of our other protected micro markets that we’re in. And I can tell you, we’ve seen a real inflection and I’m telling you it’s real and type of persons moving to Las Vegas, where we have these locations, like Red Rock and Green Valley that are in, the suburbs where everybody wants to live. And the quality of the customer that’s moving Las Vegas and the high-end part of our business is stronger than it’s ever been.
Lorenzo Fertitta: Yes. This is Lorenzo. If you look historically, we’ve been able to generate outsized returns on the projects that we find a location on the freeway, tons of great traffic, great demographics. We’ve been able generate outsized returns. And that’s why we’re so excited about the Durango project. And without committing to an actual size or certainly we don’t have a budget yet, but we do feel comfortable that given the amount of free cash flow that the company is generating, that we can build that project without affecting our debt levels and affecting our balance sheet. So you have that kind of powerful effect of being able to continue to have strong growing existing operations and then growth beyond that with all of our development opportunities, coupled with the ability to essentially execute that with the free cash flow that we’re generating and not having to lever the company up to do it.
Carlo Santarelli: Thank you, guys.
Operator: Our next question is from Steve Wieczynski from Stifel. Go ahead.
Steve Wieczynski: Good afternoon, guys. So I want to ask you a question about the Palm sale. And I guess the question, actually this is probably going to be a two-part question, but the first part, would be, do you guys think you would actually have sold this asset if and this is somewhat hypothetical but if COVID never happened? And then the second part of that question would be, I mean, looking back when you made the original Palms acquisition, what were some of the bigger challenges that maybe you didn’t foresee when you originally made that deal?
Stephen Cootey: So, I guess, the first question that’s like trying to grab the tail of an odd bar, Frank. Sounds easy, but difficult to – who knows? I don’t know. I mean, I think our job is to create shareholder and maximize shareholder value.
Frank Fertitta: It wasn’t something we were contemplating in pre-COVID. We weren’t talking about really selling the Palms or going through a process at the time. Of course, when COVID hit, we reassessed our entire business top to bottom, and the San Manuel Tribe came forward and presented what we thought was a great opportunity for our company to refocus our strategy, which is on our current operations here and accelerating the development of all these pieces of land that we have throughout the Valley that focus on the growing areas of the Las Vegas local market, which we love. Second part of the question is?
Stephen Cootey: The challenges at the Palms.
Frank Fertitta: Look, I mean, we were starting to actually get some traction with the Palms. I think if you go back and kind of if we look at we’re self critical about what maybe didn’t go exactly as planned at the Palms. I think that we invested too much and too much focus on the nightlife and daylight part of the business. I think we entered the market at a time where it was hyper-competitive. There were probably too many players in the market at the time given the landscape of the competitive environment…
Lorenzo Fertitta: And that market is reset as well.
Frank Fertitta: The cost of entertainment, just the amount of players in the market and the market didn’t necessarily seem to grow. And I think that – we missed that and we made a decision seven months later to shut that part of the operation down. And we – it was kind of one of those things where we decided if we’re going to fail, we’re going to fail fast and move on. And from that time on, we really started to focus on the core parts of the business. We were actually starting to get some traction on the casino side and the overall operation side of the business. And then COVID hit, and like I said, it kind of allowed us to reassess everything. Look, we just – we really like the idea. We have this very clean, simple story where we have a very simple balance sheet, very straightforward. We are on all the real estate. We own all the development opportunities. This is simple business, there’s no fleet flickers, this is literally like, student body left student body, right just marched down the field and get a touchdown. And that’s what we’re focused on.
Steve Wieczynski: Okay. Got you. Thanks for that. That’s great color. And then second question. Can you give us a little bit of color in terms of what you’ve seen over the past couple of months in terms of your loyalty program and the my rewards boarding pass. In terms of new signups and then maybe what kind of movement you’ve seen inside of the loyalty club or program as well, meaning have you seen a lot of movement from guys going from platinum to chairman or kind of movement up inside of your loyalty program.
Stephen Cootey: We’re going to stay away from a bunch of that. But what I can tell you is, we are actively trying to grab new sign-ups and we’re gaining a lot of traction. And what we can see is the signups that we’re getting are far more active in terms of their transition from just signing up to actually playing. And then when they play, they’re much more valuable than signups at the pre-COVID level, almost 2x as valuable.
Steve Wieczynski: Okay, great. Thanks guys. Appreciate it.
Operator: Our next question is from Stephen Grambling from Goldman Sachs. Go ahead.
Stephen Grambling: Hey, good afternoon. Thanks for taking the questions. There’s a bit of a follow-up to Steve’s first question on the Palms. What’s your latest thinking, I guess, on the Strip recovery, given you sold the Palms, and it seems like we’re hearing from some of the peers on the Strip, a little bit of an inflection, and how might this important, how to think through a recovery eventually at Palace Station?
Frank Fertitta: I think Palace Station is well recovered.
Lorenzo Fertitta: Yes. Palace Station is doing very well. The local business there has really driven that business. And of course, as the Las Vegas Strip recovers and the room market recovers, and you start to get the ability to start to push rate not just on the weekends, but we get some – a little bit more firm rates in the mid week. It’s only going to accrue to the better to Palace. But it’s in a really, really nice sweet spot there given its overall location and the dollars we invested in the property over the last two years. I mean, the whole place is completely redone and the customer has really taken to it very well.
Stephen Grambling: That’s helpful. I finally got a property specific response there. As we think about free cash flow going forward, you gave the maintenance CapEx assumptions, but are there other factors that could influence free cash flow conversion either on the working capital or as we think about tax credits from the Palms sale to think through?
Stephen Cootey: Yes, I think if you want to get a little framework around free cash, just take year EBITDA estimate. From a cash tax standpoint, 2021 will be diminimous cash taxes. All the Palms will be able to shield any of its tax, to the Red Rock, we will shield any taxes paid on the Palms sale. Interest – cash interest will fluctuate, I think in a positive way, a lot of it because of the inflow of $650 million into our balance sheet. So you could talk about interest between $105 million and maybe $115 million, probably more likely on the lower side. And in terms of working capital, no real change in working capital. We’re right now somewhat at steady state in terms of working capital. So I wouldn’t put too much credence in working capital fluctuation.
Stephen Grambling: That’s helpful. Thanks so much.
Operator: Our question is from Shaun Kelley from Bank of America. Go ahead.
Shaun Kelley: Good afternoon, everyone. I was just wondering if we could get a little color on some of the customer behavior I just laid out, maybe across the quarter. I think what we saw out there was obviously in many markets and hospitality, January and February were a little slow, but March was kind of off the charts good, probably helped a little bit by stimulus. So what are you comment there? And also just maybe any thoughts on, just how the older demographic is coming back at this stage in the local’s market?
Stephen Cootey: Yes. I think from a trends aspect, you kind of nailed it, Shaun. So you answered your own question. I mean, you did see…
Frank Fertitta: Going back to notion stimulus, it’s a multitude of things all coming together. I think giving me the election behind us stimulus money, but as well as the vaccination, people being more comfortable going out.
Shaun Kelley: That’s right. So you’re seeing an uptick and when hours per visit, visitation is up and from an older demographic, you’re seeing that you’ve seen the core customer return. And maybe just given that you’re already up on – if I caught it correctly, I think, yours – on Casino revenues, you’re – looks like you’re already up versus 2019, I think same store revenues same. So like, is there anything in here that you look at and say, you think it’s unsustainable, at least on the gaming operation side on the pure revenue line? Or do you think, look, this is here to stay and like you said, you’ve got other drivers, midweek rooms, things like that, they can actually push things even maybe even higher from here?
Frank Fertitta: No, I mean, we’re definitely midweek rooms, we can do a lot better. I think that catering, we can definitely do a lot better. And I see that probably more as a slow recovery in the fourth quarter and probably do a much better in 2022. But those are definitely areas that we have upside. And I don’t know, Steve, we feel pretty good about what we’re seeing right now.
Stephen Cootey: Yes, I would say, Shaun, I thought, from a tone of business, I think we feel really good about where we are, particularly again on the non-gaming side. I mean, Frank touched on it just a moment ago, but hotel is coming back and again, it’s up from an occupancy standpoint and an ADR standpoint, as we’re starting to be able to hold rates and food and beverage, particularly with the restriction is kind of easing. You’re definitely seeing an increase in coverage. I’m going to say ex-buffet, because obviously it would be down year-over-year because of the buffet, which I think we can fairly say will never return. And, but we’re also up in terms of price point. So we’re getting more from the customer per cover, which is more than making up for the revenue loss of the buffet.
Shaun Kelley: Thank you very much.
Operator: Our next question is from Barry Jonas from Truist Securities. Go ahead.
Barry Jonas: Thank you for taking my question. First, I ask, any updated thoughts on selling any excess land? Is there less urgency now?
Frank Fertitta: No, I mean, look, our goal is always to maximize shareholder value. And we always look to monetize any excess land that we may have. I think, when you look at it – we think we have six grade core development opportunities here in Las Vegas. As you know we have had some traction on real estate. COVID kind of set that back a little bit, but we continue to work towards, monetizing anything that we don’t see being part of our development pipeline over the next I would say five years or so.
Stephen Cootey: Yes, just to add what Frank said, the demographic trends in Las Vegas are continued to go stronger by the buyer week. And that same goes for the housing market and same goes for the real estate market. So well…
Frank Fertitta: Yes. Two things work in our advantage. The geographic location of the development sites we have, our A+ gaming entitled in the areas of Las Vegas that are growing and the demographics were working through our advantage, given the migration that we’re seeing from other space where people want to avoid regulation, taxation, and look to move to a great state like Nevada, where there’s opportunity.
Barry Jonas: Great. And then as a follow-up question, we’re hearing a lot about labor hiring issues across the country. Wondering if you are seeing an impact or expect to see an impact as you staff-up?
Stephen Cootey: Yes. I mean, right now, we feel really good about our labor situation. I mean, there’s some open positions, but not to what we’re hearing across the valley.
Frank Fertitta: You have to remember we did keep our three members on during COVID. We were one of the few companies that did that and I think it’s resulted, it’s made easier on us to basically be properly staffed as business returns to normal.
Stephen Cootey: Yes. And I think the focused on family initiative that we announced really last call increasing wages, increasing training, increasing benefits that made us an employer of choice in the valley.
Barry Jonas: That’s great. Thank you so much guys.
Operator: Our next question is from Chad Beynon from Macquarie. Go ahead.
Chad Beynon: Good afternoon. Thanks for taking my question. First, I wanted to ask about cashless gaming adoption at your property is how you’re thinking about rolling this out and how you think your customers will embrace this new technology. Thanks.
Frank Fertitta: Sorry, go ahead.
Lorenzo Fertitta: I was going to say there’s clearly momentum in the industry to move up, move forward in this technology. And we’re currently in the process of developing an app and a one-wallet solution, which we think would increase customer convenience, reduce friction, and I think ultimately lead to a positive customer experience as well as increased profits in our side. And we plan to have more information on that in the next couple of quarters.
Chad Beynon: Okay, great. And then just had a follow-up on the $50 million of annual cost saves that you announced the $150 million going up to $200 million, is that completely separate from, I guess, bringing back the non-gaming amenities at a higher margin, or should we think about some of that $50 million is basically just operating some of those non-gaming amenities that will come back on more efficiently?
Lorenzo Fertitta: Latter, I mean when we first started this program back in June when we reopened, it’s a combination of managing labor efficiently, optimizing marketing programs, as well as managing our third-party vendor and consulting and management contracts.
Chad Beynon: Thanks guys. Appreciate it.
Operator: Our next question is from John DeCree from Union Gaming. Go ahead.
John DeCree: Hi everyone. Thanks for taking my question. Just to follow-up on Chad’s question regarding the cost savings, Steve just for clarity, I think you’ve maybe mentioned this earlier, the COVID mitigation costs fading as well as some of the closed property carrying costs. Is that in addition to – or would that be in addition to the total $200 million of operational cost savings that you’ve talked about?
Stephen Cootey: Yes.
John DeCree: Got it. And second question on some of the share repurchase activity, you have a program or an amount outstanding, you’ve talked about Durango being on the horizon and deleveraging. So when we think about the share repo activity or returns to shareholders, what’s your thought process going forward? Is it opportunistic, programmatic, and bigger picture kind of thinking of all of those buckets as uses of free cash flow going forward.
Frank Fertitta: I think it’s – the latter, you guys are making easy because you’re answering your own questions. So I think it’s actually the latter. And I think one of the reasons why we look to close the sale of the Palms is having that $650 million just really increases our financial flexibility and allows us to look at all options in all the ways to increase and maximize shareholder value.
John DeCree: Got it. I think you guys made the story quite simple, so making it easy for us too. Congratulations on the quarter guys, and thanks for taking the questions. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Stephen Cootey for closing remarks. Go ahead.
Stephen Cootey: Well, thank you, everyone, for joining the call, and we look forward to talking to you in about 90 days. Take care.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.